Operator: Ladies and gentlemen, good morning, and welcome to Cadre Holdings, Inc.'s Fourth Quarter 2025 Conference Call. Today's call is being recorded. All lines have been placed on mute. If you would like to ask a question at the end of prepared remarks, please press star one. At this time, I would like to turn the conference over to Matthew Berkowitz of the ICR Group for introductions and the reading of the safe harbor statement. Please go ahead, sir.
Matthew Berkowitz: Thank you, and welcome to today's conference call to discuss Cadre Holdings, Inc.'s fourth quarter results. Before we begin, I'd like to remind everyone that during today's call, we will be making several forward-looking statements, and we make these statements under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements reflect our best estimates and assumptions based on our understanding of information known to us today. These forward-looking statements are subject to the risks and uncertainties that face Cadre Holdings, Inc. in the industries and markets in which we operate. More information on potential factors that could affect Cadre Holdings, Inc.'s financial results is included from time to time in Cadre Holdings, Inc.'s public reports, filed with the Securities and Exchange Commission. Please also note that we have posted presentation materials on our website at https://www.cadre-holdings.com, which supplement our comments this morning and include a reconciliation of certain non-GAAP financial measures. I'd like to remind everyone that this call will be available for replay through 03/25/2026. A webcast replay will also be available via the link provided in yesterday's press release, as well as on Cadre Holdings, Inc.'s website. At this time, I would like to turn the call over to Cadre Holdings, Inc.'s Chairman and CEO, Warren B. Kanders.
Warren B. Kanders: Good morning. And thank you for joining Cadre Holdings, Inc.'s earnings call to discuss our results for the fourth quarter and full year 2025. I am joined today by our President, Brad E. Williams, and Chief Financial Officer, Blaine Browers. Fiscal 2025 was another year of steady progress for Cadre Holdings, Inc. Our focus remains consistent: building a company that delivers mission-critical technologies for professionals operating in demanding environments while generating disciplined and sustainable growth for our shareholders. Throughout the year, we made progress in three areas: strengthening our portfolio, integrating our businesses, and continuing to build demand across our core markets in public safety, defense, and nuclear safety. First, we expanded our capabilities with the acquisition of CARS Engineering. CARS is a well-regarded provider of engineered solutions serving the nuclear safety market. The business brings deep technical expertise and long-standing customer relationships that fit well with our strategy of investing in specialized companies that operate in highly demanding environments. During the year, we also signed an agreement to acquire TIER Tactical, a company widely recognized for its advanced protective equipment and strong reputation with military and law enforcement customers. That transaction closed earlier in 2026, and we are excited to welcome TIER to the Cadre Holdings, Inc. platform. We believe their capabilities and product portfolio are highly complementary to our existing businesses and further strengthen our position in mission-critical safety solutions. At the same time, we continued integrating the businesses we have brought into Cadre Holdings, Inc. over the past several years. Building a strong portfolio is only the first step. Real value comes from operating as a cohesive platform, aligning leadership, sharing engineering capabilities, and strengthening how we go to market. We made solid progress on that front in 2025. Operationally, we also saw strong demand across many of our end markets. Our team secured a number of meaningful contract wins during the year, particularly in advanced sensor technologies and blast mitigation seating, areas where performance and reliability are essential. These programs reinforce the trust our customers place in our technologies and in the Cadre Holdings, Inc. brands. As a result, we continue to build backlog, providing increased visibility as we move forward. That backlog reflects both the strength of our portfolio and the long-term nature of many of our customer relationships. Importantly, we entered the new year with a strong balance sheet. That financial strength allows us to remain disciplined but also opportunistic, continuing to invest in the businesses while pursuing acquisitions that expand our capabilities and market reach. We maintain an active M&A pipeline and are focused on opportunities that fit our strategy and meet our return thresholds. Stepping back, what is encouraging is the consistency of our progress. Year after year, we have continued to strengthen the platform, expanding our capabilities, integrating our businesses, and serving the markets where our technologies truly matter. I would like to thank our employees across the organization for their commitment and expertise, as well as our customers and partners for their continued trust. And I want to thank our shareholders for their ongoing support. With that, thank you for being with us today. I will turn the call over to Brad. Brad, over to you.
Brad E. Williams: Thank you, Warren. On today's call, Blaine and I will provide a Q4 update and business overview, including recent trends and financial performance as well as our 2026 outlook followed by a Q&A session. We will begin on slide five. We delivered on our strategic objectives in the fourth quarter, driven by strong and recurring demand for our mission-critical safety products combined with the continued implementation of our operating model. Favorable mix in the quarter reflected higher duty gear volume and lower distribution volume. Orders backlog was up significantly. 2025 order growth plus the addition of CARS engineering division in April results in a nearly 50% increase in our backlog versus last year. This includes the blast exposure monitoring system, or BMO, contract that we discussed last quarter. As a reminder, this is a $50,000,000 IDIQ contract and represents a major achievement for our team and a key milestone in our work with the U.S. military. Based on the expectations we had previously outlined for 2025, you will recall that we saw a higher mix of larger opportunities that had been delayed. In fact, our Med-Eng, ICOR Technology, duty gear, Defense Technology, and armor categories have been extremely busy and successful winning larger opportunities in South America, Eastern and Western Europe, UAE, and parts of Asia. Large opportunities typically bring challenges around visibility of closing and booking the opportunity. With that said, we continue to have additional larger opportunities that are still in play that we have not closed that we expect continued progress on throughout 2026. Turning to M&A execution, as you heard from Warren, we completed the acquisition of TIER Tactical last month. Its addition to our portfolio advances Cadre Holdings, Inc.'s strategic focus on mission-critical products with high margins, strong cash flows, and compelling growth tailwinds. It also opens the door to international markets and provides access to new customers based on long-standing relationships. The integration process is underway. We have started our first 100 days of functional integration activities which have included initial site visits by both TIER and Cadre Holdings, Inc. teams. Based on our initial diligence, we kicked off two projects to evaluate product use of TIER capabilities within two different Cadre Holdings, Inc. businesses. TIER has shown an impressive dedication to manufacturing processes that deliver customers best-in-class solutions. We look forward to leveraging their engineering capabilities as well as employing core Cadre Holdings, Inc. operating model tools to unlock additional opportunities across the organization. While TIER is our latest acquisition and our teams are focused on integration, we are certainly not done when it comes to M&A, and we are actively evaluating a robust funnel and high-quality strategically aligned businesses to add to our portfolio. Critical to our success is Cadre Holdings, Inc.'s ability to generate significant free cash flows through cycles, which enables us to both pursue acquisitions and make strategic investments in core organic growth, while also returning capital to shareholders. We have paid 17 consecutive quarterly dividends since going public and recently raised our dividend to $0.40 per share on an annualized basis. Turning to slide six, we continue to operate in two markets defined by durable long-term demand drivers. On the law enforcement side, we see rising safety threats globally, coupled with resilient and growing spend on protection equipment. There is bipartisan commitment to public safety in the U.S. and across Europe supported by growing defense budgets. On the nuclear safety side, long-term demand is tied to policy and commercial tailwinds across our three market segments: environmental management, national security, and nuclear energy. I will speak more about some of the dynamics we are seeing in the nuclear market in a moment. The next two slides outline more current developments in our business environment. Trends in North America law enforcement remain positive, highlighted by significant federal investment in government agencies. From a geopolitical perspective, global conflict is on the rise, underscoring the importance of the work that we do. As we have discussed previously, the opportunity for Cadre Holdings, Inc. to play a more meaningful role generally comes when hostilities end, and we can provide various EOD offerings to address unexploded ordnance. In our consumer channel, while overall consumer demand is down, we have benefited from the strength of the Safariland brand and new product introductions. During 2025, we saw growth in this channel of 7% for the full year and 15% growth in the second half of the year, both versus prior year. Turning next to the latest market trends affecting our nuclear on slide eight, we continue to see multiple multidirectional support driven by expanded government and commercial programs. On the national defense front, expanding government mandates for weapons modernization and production are driving consistent and growing demand. The broader nuclear power space also continues to support growth opportunities for Cadre Holdings, Inc. The momentum in this market segment has only grown greater. Based on our follow-the-fuel strategy tied to the expanding nuclear fuel cycle, we are seeing stronger-than-expected opportunities in our funnel related to nuclear ventilation and containment systems and criticality alarm systems. Our third nuclear market segment is environmental management, where we support nuclear material processing, handling, and remediation. A development to call out in this area has been a recent executive order aimed at repurposing the U.S. plutonium stockpile to fuel nuclear reactors. Historically, Alpha safety products were used to transport stabilized plutonium to sites where it was down blended with uranium and ultimately packaged in a criticality control overpacks per shipment. Following the executive order, this down blending program has slowed, which has directly reduced demand for some Alpha safety products. Additionally, we have seen a shift in priorities at multiple nuclear sites toward pit production programs. With resources heavily focused on rebuilding plutonium production infrastructure, waste disposition programs are currently receiving less operational focus. As a result, plutonium material movement has slowed. While this will have a near-term financial impact, keep in mind this development pertains to only one subsegment of the nuclear group. Blaine will discuss this in greater detail, but overall, the broader Cadre Holdings, Inc. Nuclear Group outlook remains positive. Before I turn the call over to Blaine, I would like to highlight another major win for Cadre Holdings, Inc.'s Med-Eng subsidiary that Warren alluded to in his introduction. Earlier this week, we announced that Med-Eng has been awarded $86,000,000 in contracts by General Dynamics European Land Systems, or GDELS, to provide blast attenuation seats designed to protect occupants from mine and roadside explosive threats. These are life-saving seats that highlight differentiated expertise in blast physics and integration into military vehicles. We are honored to be awarded these contracts, which mark an important endorsement of Med-Eng's breadth of engineering and product development capabilities. Production and first delivery of the larger of the two programs will begin in 2026 and continue until 2031, while the second contract will run in parallel beginning in 2026 and continue through 2029. With that, I will now turn the call over to our CFO, Blaine Browers, to speak more about M&A, Cadre Holdings, Inc.'s Q4 financial results, and 2026 outlook.
Blaine Browers: Thanks, Brad. I will kick off my comments by spending a moment to underscore Cadre Holdings, Inc.'s M&A track record and the momentum we expect to carry into 2026. As you can see on slide nine, the acquisition of TIER completed in February marks our sixth acquisition since going public. Each of these transactions has been in line with our thoughtful and patient approach and met our highly selective key criteria focused on strong margins, leading and defensible market positions, recurring revenues, and cash flows. Looking ahead, we maintain a robust acquisition pipeline in both the public safety and nuclear markets and intend to grow our diversified portfolio of mission-critical safety businesses through disciplined capital allocation. Turning to slide 10, we highlight the criteria that guides our process when evaluating potential transactions. Overall, we anticipate additional M&A in 2026, and continue to see attractive opportunities to broaden our product range, enter new markets, and increase customer wallet share. On the next two slides, we have provided a broader overview of the TIER acquisition which represents another step forward in the strategy we have articulated over the last several years. As Brad discussed, we have begun the integration process and look forward to the beginning of this next phase of growth together. TIER brings significant hard armor capabilities via their large presses and autoclaves that will be a significant resource addition to the Cadre Holdings, Inc. armor businesses. We are excited about how the strengths of both companies will complement each other and enable new growth opportunities. Another key point to highlight is that the TIER Tactical customer base has minimal overlap with Cadre Holdings, Inc.'s existing Safariland armor business. On slide 11, we show TIER and Cadre Holdings, Inc. armor revenue by customer channel which illustrates how complementary the two brands will be in the marketplace. TIER serves a worldwide customer base, including top-tier special ops units, government agencies, and militaries. You can see that 66% of its revenue is derived from international customers, while U.S. federal and U.S. military totaled 27%, both areas where Safariland does not have a major foothold today. Turning now to a summary of Cadre Holdings, Inc.'s financial performance, slide 14 details our fourth quarter and full year results. Fourth quarter top- and bottom-line results were down versus last year's record Q4, while our full year net sales, net income, and adjusted EBITDA increased significantly year over year. In Q4, Duty Gear and Armor product lines saw revenue and margins in line with our expectations, but we did experience revenue timing shifts in our nuclear businesses and EOD product lines, some distribution softness and run-rate, and a slight impact in our chemical luminescence product due to the government shutdown. Notably, 2025 adjusted EBITDA of $111,700,000 marked a record for the third consecutive year and 2025 gross margins improved 140 basis points. Similar to what we have seen in the past, irrespective of party, there can be uncertainty as a new administration gets their footing. We have seen similar impacts in the past, but these impacts have been short-lived. We have also seen the resiliency of our business as we exit these transition periods. I would like to reiterate that we have had two significant wins in public safety that reinforce our optimistic view of the future with the blast sensor contract and the blast attenuation seat contract, both of which have multiyear horizons for our life-saving products and are two of the biggest contracts in our history. I would also like to highlight the fact that the gross margins for the full year 2025 for public safety products, excluding distribution and nuclear, were up 188 basis points on a full-year basis, which further reinforces the strong execution of the teams and sets the stage for strong EBITDA margins as we see more typical growth. Illustrated on slide 15 is net sales and adjusted EBITDA growth year over year, including our 2026 guidance, which I will discuss more in a moment. Our full year outlook implies year-over-year revenue and adjusted EBITDA growth of 22%–24%, respectively, at the midpoints. You can see that over the last several years, Cadre Holdings, Inc. has delivered consistent and stable growth. Our resilience is a key differentiator with the businesses that are largely unaffected by economic, geopolitical, and other cycles. On slide 16, we present our capital structure as of 12/31/2025. After completing the acquisition of TIER Tactical, our leverage is just under 3x, not including TIER's earnings. If you adjust for TIER's adjusted EBITDA contribution, our leverage drops to about 2.5x. We believe Cadre Holdings, Inc.'s strong free cash flow generation coupled with the strength of our balance sheet gives us ample financial flexibility to continue to pursue organic and inorganic opportunities. We provide 2026 guidance on slide 17. Net sales are expected to be between $736,000,000 and $758,000,000. Our adjusted EBITDA guidance is between $136,000,000 and $141,000,000, implying adjusted EBITDA margins of approximately 18.5%. Guidance indicates organic growth for both Public Safety and the Nuclear businesses to be in the 3% to 5% range, as well as continued implementation of our pricing strategy of a 1% price increase net of material inflation. Brad discussed near-term headwinds for one of our nuclear businesses, which is reflected in our guidance. From a profitability perspective, these declines represent negative mix, and that impact is considered in the outlook. We believe over time, as we realize these commercial nuclear opportunities in our funnel, that our nuclear mix will return to what we have seen in the past. As we look at the quarterly cadence of revenue, similar to the past, we expect the second half of the year to be heavier with a lighter Q1. Public Safety businesses have their larger opportunities timed for later in the year. For example, the blast sensor order is expected to ship later in the year as the team ramps up production on this new product line. We expect Q1 to be up year over year, driven by TIER, but organically down in the quarter driven primarily by armor project timing combined with armor material constraints, lower distribution revenue, and Alpha project timing. Expect Q1 to be very similar to Q3 of last year on the revenue line, with margins around 39% due to volume and mix, as we have discussed. We do expect margins to climb as we exit Q1 as the mix improves and volume increases, and EBITDA margins in the low teens in Q1 for the same reason. This does not include the impact of the inventory step-up for TIER, or amortization, as part of the purchase accounting. Overall, our businesses are performing well. We expect continued strong demand in 2026 across our core markets in public safety and nuclear safety. I will now turn it back to Brad for concluding comments.
Brad E. Williams: Thank you, Blaine. We continue to execute well against our strategic priorities, and our strong 2026 outlook reflects our confidence in the business's fundamentals and the effectiveness of the Cadre Holdings, Inc. operating model. We believe the combination of Cadre Holdings, Inc.'s track record of superior execution, resilience in the face of economic, political, geopolitical, and other cycles, as well as the dedication of our talented teams around the world, will continue to drive strong results moving forward. Beyond our core organic growth initiatives, we are actively evaluating compelling M&A opportunities and remain committed to targets with strong financial profiles, durable competitive advantages, and structural growth drivers. In conclusion, we are excited to continue to build our platform and further our market leadership supported by Cadre Holdings, Inc.'s entrenched positions and favorable industry trends across our law enforcement, first responder, military, and nuclear end markets. With that, operator, please open up the lines for Q&A.
Operator: Thank you. We will now open for questions. If you have dialed in and would like to ask a question, please press star one. If you are called upon to ask your question and are listening via speakerphone on your device, please pick up your handset and ensure that your phone is not on mute when asking your question. Excuse me. Again, it is star one if you would like to ask a question. And our first question comes from the line of Lawrence Scott Solow with CJS Securities. Your line is open.
Lawrence Scott Solow: Great. Thank you. Good morning, everyone. I guess just first, kind of question, Brad, very encouraged to see the kind of organic outlook returning to a somewhat normalized rate there in the 3%–5%. So if I do my math somewhat correctly, it looks like you were down about 2% organically in 2025, and you kind of outlined a bunch of larger orders pushed out. I am just curious, like in this environment, is it kind of a domino effect where some of the things that were pushed out from 2025 into 2026, or then you are seeing stuff go from 2026 to 2027, or, you know, is there any catch up? Just kind of curious on your visibility. Obviously, with geopolitical stuff, you know, Iranian conflict, all that other stuff. Eventually, stuff like that probably should be good. But in the short term, government shutdown, partial shutdown, there is some of this stuff also kind of impact your visibility for the current year?
Brad E. Williams: Hey, Lawrence, it is Brad. Thanks for the question. You know, the good news is when you look at when there are large opportunities within this business, or quite frankly many other businesses I have been in, you have good visibility to those. So, you know, that mix of large opportunities that we talked about last year, we have closed a lot of those opportunities. They are sitting in our backlog now. We talked about blast seats we announced earlier this week. We just talked about it. That was something that we were expecting more toward the end of last year, but we have got that one in the bag now. We also have the sensor program which was the other one that, you know, we thought we would get earlier in the year last year, but we ended up having more toward the end of the year last year. And then we have other ones that, you know, we cannot disclose the customer base for competitive reasons, but there are other larger opportunities within multiple categories that, you know, they are funded, but there are various details around those orders that have kept those orders from getting booked at the moment. So we continue to work those, work them hard. And I am also proud to say, I mentioned in the prepared remarks that our international teams have been closing a lot of various orders within many different countries within not just a single business unit, but multiple business units. And, you know, we are really proud of the traction that we have been making there.
Lawrence Scott Solow: Right. So it certainly sounds like a temporary thing. Right? I mean, it feels like your backlog continues to grow. Question just on the nuclear front. So I guess kind of that shift in prioritization, less cleanup on the plutonium side, more focus on plutonium build out. I guess, in theory, you know, you are taking it from one hand and giving to the other hand, but that giving to the other hand may take a little bit longer so you have potentially a build out. So you have a temporary short-term negative impact. Is that kind of a good way to look at that in terms of how you view it? And if I could just slip one more. Just margin outlook, it looks like the implied kind of midpoint is slightly up, almost pretty flattish. Is that, and I know TIER is sort of accretive. So is most of that impact just on the mix side in nuclear? Is it kind of dragging the margin this coming year?
Blaine Browers: Yeah. I think there is, you know, a timing difference when we think about an existing revenue stream for nuclear related around that down blending and then the pickup on the commercial nuclear side. There is a timing lag just because of the size and significance of those projects for it to pick up. It is kind of point one. And then the second point, which Brad brought up, is really just the mix change and the impact in margins that has. You know, down blending is a very highly technical side of the business with, you know, margins that go with the kind of technical expertise required. You kind of have this twofold, you know, kind of impact. You know, what we are excited about, though, is how robust that commercial nuclear energy funnel has become since acquisition. Right? If you kind of rewind back when we started, and I think this is the great thing about the portfolio, is we play in all three of these end markets. So over the long run, we are comfortable there are plenty of revenue opportunities, not only to offset that loss, but really to continue to drive growth in that segment. That is really it. Yeah. It is that mix impact.
Lawrence Scott Solow: Gotcha. Okay. Great for the color. Appreciate it.
Blaine Browers: Absolutely.
Operator: And our next question comes from the line of Eegan McDermott with Jefferies.
Eegan McDermott: Hey. Good morning. Thank you, guys, for taking the question. It sounds like some of those bigger orders are still being pushed to the right and we have seen some recent wins. But for the remaining contracts, what gives you confidence that they are delayed and not lost at this point?
Brad E. Williams: 100% confidence that they are delayed and not lost at this point. That is the type of visibility that we have to those. I cannot go through the details for, you know, those specific ones, but the visibility is 100% there. Especially one, two, actually, larger orders in one of our business units that, you know, has been awarded to us, let us call it. Right? So we look at the products that we have that have been specified, no issue there. So definitely no losses. High confidence in those. It is just a timing situation, and they are both two different specific situations taking place.
Eegan McDermott: Understood. That is helpful. Thank you. Maybe if I could follow up on CapEx. You guided in the $10,000,000 to $14,000,000 range for 2026. It is obviously a step up from recent years. And maybe just some commentary on that if you could, and should we be thinking of that as going towards capacity expansion or focused on any specific area of the business?
Blaine Browers: Yeah. Really, the uplift from historical is around capacity, in particular in the nuclear area or the nuclear businesses, where we have some site buildouts. And you go back in history, you know, we have had periods where we get closer to, you know, not quite 2% of revenue, but closer to 2% of revenue as we talk about. And generally, what drives that is capacity expansion, buildings, and that is the case for this year. Outside of that investment in one of our sites, the CapEx is very, very typical for the rest of the businesses.
Eegan McDermott: Great. Thank you.
Blaine Browers: Thank you.
Operator: And our next question comes from the line of Matthew Butler Koranda with Roth Capital. Your line is open.
Matthew Butler Koranda: Hey, guys. Appreciate the detail on the organic components of the 2026 outlook. Just wondering what are you factoring in from TIER from a revenue contribution standpoint? It sounds like it is still going to be accretive on EBITDA margin, but wanted to hear a little bit more about revenue and then cadence of revenue from TIER throughout the year.
Blaine Browers: Yeah. Our outlook with TIER out of the gates is a conservative approach, as, you know, we do with all acquisitions. So we have them laid in at about $100,000,000 on a full-year basis. Given that we closed in February, that would put them in the high eighties to low nineties baked into guidance. And then EBITDA margins, you know, right where we talked about in that 20% range. As we move forward in the year and, you know, get a little closer to the team's process and develop, you know, more confidence in the funnel, we will adjust accordingly from there. But, you know, we feel comfortable with where we are starting with them.
Matthew Butler Koranda: Okay. And then on the blast seat contract, I was curious how that ramps up. I know you said there is contribution in 2026. It sounds like probably later in the year. Maybe any color on how you are thinking about the ramp up and contribution to sales in the back half of 2026? And then just on a go-forward basis, I guess, is it kind of a run-rate type deal through the two contracts’ terms that you gave in the press release? Any additional kind of thoughts on the way to thread that into the model would be helpful.
Brad E. Williams: Hey, Matt. It is Brad. So think of it this way, new program. We wanted to get it out as soon as possible to getting the $86,000,000 PO in our hands. So what the team is working on now with GDLS is the production planning side of things for 2026. So we actually have just started that here in March so that we can begin ordering parts and begin to get the supply chain cranked up. And then there are some sample deliverables as we go into the fourth quarter as we go into that phase of the project overall. So, you know, most of this revenue will be timed into 2027 and beyond for the schedule that I mentioned earlier.
Matthew Butler Koranda: Okay. That is helpful. Thanks, guys.
Operator: And our next question comes from the line of Jeff Van Sinderen with B. Riley Securities. Your line is open.
Jeff Van Sinderen: Just wanted to circle back to down blending for a moment if we could. Would you expect down blending funding to increase again at some point, or might down blending be replaced by some other sort of disposal process? And is that one that Cadre Holdings, Inc. could be involved with? And then can you tell us a little bit more about the General Dynamics seat attenuation product? What all you are supplying there? Maybe a little more about the vehicles that the seats are going into, and is there potential for follow-on orders from General Dynamics? And just maybe what the overall outlook is for Med-Eng, just given the recent wins?
Brad E. Williams: Jeff, overall, it is hard to tell. What we are referencing is an executive order that went out last year that directed—it was really directed from the DOE—to decrease the down blending of excess plutonium, except in areas that are required by law. So you can go read the executive order, but that is roughly what the executive order says. Then what we have seen by working with some of our customers like LANL and Savannah River and those folks is things have shifted more toward pit production programs with the goal of increasing pit production since the U.S. has, quite frankly, been producing zero pits over many years since the Cold War ended. So that seems to be the focus at the moment. That does drive additional opportunities. They are different opportunities compared to what cleanup activities would look like with our high-end containers that Blaine had already mentioned that bring higher margins within that product category for us. And what it shifted to is from a commercial nuclear standpoint and more of the nuclear ventilation and containment type systems that we have within the Alpha Safety business unit, and then also criticality alarm systems, also within the Alpha Safety business unit. You know, the good news is the funnel for those two product categories has been growing significantly since this shift has been happening. We have got various companies that are in the enrichment side of things and also fabricators that we have an extensive list of quotes that are going on with them that we are pursuing at the moment for these offsetting type opportunities. It is not a category that we have talked a lot about in the past. It is a category that, you know, we have an approximate installed base of 13,000-plus seats that are out there that we have designed and manufactured over time across 15 to 18 different distinct configurations. So, you know, we have been doing this for about 18 years. So the team at Med-Eng has a lot of experience on the crew survivability side of things. So think of it as the product is a purpose-built blast attenuation type seat. It is engineered to protect occupants of tracked and wheeled combat vehicles and then also other vehicles within, you know, militaries. So these vehicles, anytime there is a blast that happens, you know, it could be under the vehicle, it could be close to the vehicle, this is a way to protect the occupants that are sitting in these seats in the vehicle. We do have field-proven performance with various situations where vehicles have experienced those types of blasts and lives have been saved due to these blast seats that we have. So that gives you a little more detail and a little more color around what we do in this category. The team—very proud of this team—they have been working really, really hard to continue to build up the funnel and land some of these projects as they come about in these programs, and we are proud to be working with GDLS on this. It is a customer that we have a lot of experience with, whether it is General Dynamics USA, General Dynamics Canada, General Dynamics Europe, obviously the UK. We have experience working with them overall. So we are happy to have this program.
Jeff Van Sinderen: Good to hear. Thanks for taking my questions.
Blaine Browers: You are welcome.
Operator: And our next question comes from the line of Mark Eric Smith with Lake Street. Your line is open.
Mark Eric Smith: Hi, guys. First question for me, just wanted to ask about TIER, kind of synergies as we think about their facility and opportunities maybe with some of your current Safariland products. You know, what is maybe built into the guidance? What opportunities there are as well as maybe cross-selling opportunities and if there is anything built into the guidance for that? And the second one for me is just kind of housekeeping and maybe for Blaine. Just can you just walk through a little bit more on the Q1? You gave some numbers around maybe Q1 on revenue and margin. If you could just review that, and then curious if there is, you know, some continued transaction costs that roll over into Q1.
Brad E. Williams: Hey, Mark. It is Brad. Great question. The short answer is there is zero built into the guidance related to TIER synergies. As you know, our first 100 days as we get out of the gates, we focus on all the functional-related activities—IT, finance, accounting, tax, treasury, compliance, you name it. That is the immediate focus with the teams as we bring people into the Cadre Holdings, Inc. organization. We have kicked off a couple of projects. I cannot go into details of those projects because it would bring up some potential competitive-type situations out there. But we have kicked off two projects that I have approved within actually two separate business units. One is within our armor business unit. Another is within our Med-Eng business unit. To work with the TIER folks together on looking at how TIER capabilities can be used within those two parts of those businesses. So we are really excited about those two projects. I would call them lower-complexity projects that have higher opportunities of success as we go forward to get our feet wet with the TIER team working with our Cadre Holdings, Inc. business units.
Blaine Browers: Yeah. Absolutely. So we said revenue really in line with Q3 of last year, which was right at $155,800,000. Gross margins around 39%, with EBITDA margins in the low teens. And there will be some carryover on transaction costs into the year as we close the deal.
Mark Eric Smith: Perfect. Thank you.
Blaine Browers: Absolutely.
Operator: And our next question comes from the line of Jordan J Lyonnais with Bank of America. Your line is open.
Jordan J Lyonnais: Hey, good morning. Thanks for taking the question. On the organic backlog decline, is it fair to think that most of that should be from the environmental cleanup work inside of the nuclear business? And then, for 2026, the verticals that we should see this 3% to 5% organic growth—if it is commercial versus true defense—what probability of win do you guys have around the commercial side coming through that gives you the confidence we will see that shift to make up for the environmental down?
Blaine Browers: And you are talking backlog sequentially, Jordan, is the question. Right? Okay. Yep. Yeah. It is kind of as we expect. There were a number of larger projects. Our backlog had increased coming into or at the end of Q3, and then as those large shipments went out. So, you know, duty gear had some large orders Brad mentioned on some international wins that got shipped in Q4 that lowered their backlog. Nothing alarming, but it is kind of a little bit spread amongst a lot of the businesses. You know, just calling attention to year over year. If we look back to where we were, you know, December 2024, we are still up organically pretty significantly. So I think kind of use that as a base point just to ground on that backlog growth on a year-on-year basis. And then, you know, on the commercial nuclear side, you know, we have always had these products that we are talking about. So I think the “how do we come around the probability of win” is really relative to our past track record in this area. The real difference here is not that it is new products or new uses. It is just the sheer number that we are seeing. So if you think about ventilation containment as an example Brad mentioned, that is something the business has done for many, many years, both in fuel production as well as in remediation. So this is not a new application. You know, when you think about the competitor side, it is the same competitors they have competed against in the past. Very similarly with the criticality accident alarm systems. Same set of circumstances, same competitors, same application. And that is what gives us comfort around those future wins. This is not a new market for us by any means.
Jordan J Lyonnais: Got it. Thank you so much.
Operator: And that concludes our question and answer session. We will now turn the conference back over to Brad E. Williams for closing remarks.
Brad E. Williams: I would like to thank everyone for joining our call today and your continued support of Cadre Holdings, Inc. Operator, that will conclude the call.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call, and we thank you for your participation. You may now disconnect.